Operator: Please standby. Good morning, ladies and gentlemen. Thank you for standing by. Welcome to today's Titan Machinery First Quarter Fiscal Year 2015 Earnings Conference Call. At this time all participants in a listen-only mode. Following the formal remarks we will conduct the question-and-answer session. Instructions will be provided at that time for you to queue up for questions. Hosting today's conference will be John Mills of ICR. As a reminder, today's conference is being recorded. And now, I would like to turn the conference over to Mr. John Mills. Please go ahead, sir.
John Mills: Thank you. Good morning, ladies and gentlemen. And welcome to Titan Machinery's first quarter fiscal 2015 earnings conference call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer; Peter Christianson, President; and Mark Kalvoda, Chief Financial Officer. By now everyone should have access to the earnings release for the first -- fiscal first quarter ended April 30, 2014, which went out this morning at approximately 6:45 a.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Titan's website at titanmachinery.com. This call is being webcast, and a replay will be available on the company's website as well. In addition, we are providing a slide presentation to accompany today's prepared remarks. We suggest you access the presentation now by going to Titan's website and clicking on the Investor Relations tab. The presentation is directly below the webcast information in the middle of the page. Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. The statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Titan's most recently filed annual report and Form 10-K. These risk factors containing more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking statement that may be made in today's release or call. Lastly, due to the number of participants on the call today, we ask that you keep your question period to one or two questions and then rejoin the queue. The call will last approximately 45 minutes. David Meyer will provide highlights of the company's first quarter results and a general update on the company's business. Then Peter Christianson will discuss the company's international overview and segment operating results. Mark Kalvoda will discuss the company’s financial results in more detail and in fiscal 2015 annual revenue, net income, earnings per share guidance and non-GAAP operating cash flow ranges, along with outlook modeling assumptions. Then we will open the call to take your questions. Now, I'd like to introduce the company's Chairman and CEO, Mr. David Meyer. Go ahead, David.
David Meyer: Thank you, John. Good morning, everyone. Welcome to our first quarter fiscal 2015 earnings conference call. As John mentioned, to help you follow today's prepared remarks, we've provided a slide presentation, which you can access on the Investor Relations portion of our website at titanmachinery.com. If you turn to slide two, you will see our first quarter financial results. Revenue was $465 million, reflecting an increase in sales in all four revenue streams, equipment, parts, service and rental. On a segment basis, higher sales for our Construction and International segments were partially offset by lower ag sales as we had anticipated. Adjusted pre-tax loss, excluding the store closing and realignment costs was $3.1 million and adjusted loss per share was $0.11. As we discussed on our last conference call, this year one of our key areas of focus is improving our adjusted operating cash flow. In the first quarter, we generated $10.7 million in adjusted operating cash flow. Based on our visibility for remainder of the year, we are reiterating our previously issued annual outlook for fiscal 2015, which Mark will review in more detail later in today's call. Now, I’d like to provide some more color in each of the agriculture and construction industries in which we operate. Peter will provide color on the industry within our international segment. On slide three is an overview of the agriculture industry. Initial crop progress has been delayed in our Northern footprint due to late start to spring. We have adequate moisture levels for majority of our footprint as we are in the beginning of the production cycle. As forecasted in the most recent WASDE Report, record corn production is projected for this year which is reflected in lower commodity prices. USDA projected net farm income to be down 27% in calendar year 2014. Our fiscal year 2015 modeling assumptions take into consideration these industry headwinds and the associated impact on our agriculture equipment sales. The Ag equipment industry has and will continue to experience prices increases as the tier 4 final pricing has rolled out new equipment affecting overall equipment sales in compressing industry equipment margins. We believe our tier 4 technology is a best solution to achieve new emission standards for our customers. The industry continues to experience pressure on used equipment prices as a result of the lower commodity prices and the current level of used equipment in the industry. This is reflected in our equipment margin guidance. Currently bonus depreciation has expired and section 179 depreciation deduction has been reduced to $25,000 per year. Right now, these tax items are in committee and we expect them to be addressed later in the year. Although we are facing some new term headwinds, it is important to remember our customers continue to benefit from low interest rates and their balance sheets remain very strong. We are confident in the long-term strength of the agriculture industry reported by the increasing global demand for agricultural production. Now I’d like to turn to the construction segment of our business. On Slide 4, we provide an overview of the construction history in our markets. We’re seeing signs that the overall economic environment is gradually improving, providing support for increased construction activity throughout the current fiscal year. Short-term interest rates continue to be very favorable supporting capital investments. Overall construction equipment inventory levels are improving and getting closer to be in line with end-user demand. In the upper Midwest, agriculture and energy activity continue to support the construction industry. The ongoing buildout of the Bakken and adjacent oil and gas reserves with related infrastructure continue to drive demand in the industry. The housing industry is rebounding with permits increasing particularly in our Southwest footprint which is positive indicator for our medium and light equipment product offerings. We expect growth in the rental equipment demand in our footprint to be aligned with industry forecast of approximately 10% growth in 2014 which is being fueled by the factors I just mentioned. Lastly, the industry is experiencing improvement in used construction equipment pricing reflecting increased demand in many regions throughout North America. Now turning to Slide 5, I’d like to review our construction realignment which we announced on our last call. In order to better position our construction and rental business in certain markets, we’ve made a strategic decision to reduce our construction-related headcount by approximately 12%, primarily through a consolidation and closure of seven construction stores. In addition, we now have positioned our fleet in rental hub centered in large rental markets providing better selection for our customers, internal efficiencies and increased utilization of our rental fleet. Overall the realignment account to approximately 4.5% of our total company headcount. The closing and realignment cost recognized in the first quarter were $3.2 million pretax or $0.09 a share. And we anticipate incurring additional $0.6 million pretax or $0.02 per share in the second quarter of this year. The costs associated with this realignment are anticipated slightly less than our previous expectations. We are confident that the realignment and consolidation will position our construction segment from improved pretax profits and will lead to stronger performance in our construction business. On a pro forma basis, excluding the one-time realignment charges, we anticipate realizing approximately $0.12 per share in the fiscal year 2015 in realignment savings. Based on our first quarter realignment and the key initiatives we have implemented during the past year, we continue to expect significant improvement in our construction segment results in fiscal year 2015. Looking ahead in fiscal 2015, we’ll continue to look for opportunistic acquisition for domestic fleet and internationally. In the first quarter of this year, we opened two new dealerships, one in Ukraine and one in Romania in our 15th and 16th locations in Eastern Europe. Our international business represents a very small of overall operations. We continue to expect that long term we will benefit from the growth opportunity and importance of agriculture in these regions. I would like to turn the call over to Peter Christianson, our President, to discuss the agriculture, construction and international operating segments in more detail. Peter.
Peter Christianson: Thanks David. On slide six, we have an overview of the industry in our international segment which includes stores in Bulgaria, Romania, Serbia and Ukraine. There are favorable crop conditions in our market areas with our anticipated early harvest of cereal gains and adequate moisture levels to support for row crops. The lower global commodity prices are impacting the net incomes of our international customers just like farmers in North America. We continue to see the possibilities that our customers in Bulgaria and Romania may receive an extra benefit during the second half of this year from the European Union Subvention Funds, which will provide subsidies for the purchase of equipment. Although we have not added this into our international projections, this could be a benefit for these two countries’ operating results. We expect our stores in Romania, Serbia and Bulgaria to achieve growth and improve operating results in fiscal 2015 as a result of the growing awareness of our increased focus on after sales product support and the availability of equipment in the countries we operate. In Ukraine, the current geopolitical and financial environment is negatively impacting our customers and our operations. Our customers are experiencing reduced credit availability for crop inputs including equipment purchases. Rising interest rates and the devaluation of the local currency are affecting all businesses throughout the country. Even considering these factors, our customers are proceeding with the crop production cycle. The May 25th Presidential Election was held successfully, which we anticipate will help stabilize geopolitical and financial environment. Although this event will not immediately return the country to fully normalize conditions, we do believe this is a positive step to resolve the current situation. The potential economic investment packages from the west to Ukraine could improve the financial climate during the back half of the year. I want to remind you we’re located in the center of the country and most of the geopolitical uncertainty is located in the south and eastern portion of the country. We do not believe our assets in Ukraine are in jeopardy. On Slide 7, you will see an overview of our segment results for the first quarter. Agricultural sales were $352.6 million, a decrease of 2.1%. We generated adjusted Ag pretax income of $4 million compared to $8 million in the prior year period. The primary factors impacting our Ag segment results, lower equipment margins and increased floor plan interest expense compared to the same period last year, reflecting industry headwinds David discussed earlier. Turning to our construction segment, our revenue was $101.9 million, up 23%, which reflects higher same-store sales. The adjusted pretax loss for the construction segment excluding the $2.3 million realignment charge was $3.5 million in first quarter of fiscal 2015, compared to a loss of $6.5 million in the same period last year. The improved results primarily reflect higher revenue and stronger equipment margins. As David mentioned earlier, industry conditions are encouraging for the segment of our business and we're beginning to see the positive impact of our initiatives. We believe we are moving in the right direction. And we will continue to be confident that the construction segment of our business will be an important long-term contributor to our overall growth and profitability. In the first quarter of fiscal 2015, our international revenue was $30.3 million, a 9.4% increase compared to the prior year period. This growth primarily reflects the increase from new store openings. Our pre-tax loss for international was $3.1 million compared to $0.5 million in the same quarter last year, primarily reflecting the impact from our Ukraine operations, costs associated with building, our distribution network and the costs of our European operations center in Vienna, Austria. These additional costs will be more than offset, as we ramp up the volume of business in this segment. Turning to slide eight, this shows our same-store results for the first quarter of fiscal 2015. Our overall same-store sales increased 3.2%. The agricultural same-store sales decrease of 1.2% reflects the industry headwinds David discussed earlier. Our first quarter of fiscal 2015 Construction same-store sales increased 24.4%, highlighting the benefits of our initiatives, we implemented last year as well as the overall industrial improvement. Our international same-store sales increased 1.9%. We expect to see improved same-store sales to achieve our annual outlook in this segment. For the first quarter of fiscal 2015, overall same-store gross profit increased 2.5%. The 22.2% improvement in the Construction segment primarily reflects the growth in revenues. The 23.4% increase in the International segment gross profit primarily reflects the growth of our higher-margin parts business, as customers become more aware of our after-sale product support. The increases in the Construction and International segments were mostly offset by the 4.1% same-store gross profit decline in the ag segment. For modeling purposes, it is important to remember that we calculate same-store sales by including stores that were with Titan, for the entire period of both fiscal years which we are comparing. In other words, only stores that were a part of Titan for the entire three months of the first quarter of fiscal 2014 and the first quarter of fiscal 2015 are included in the first quarter same-store comparison. The stores which were closed in the first quarter of fiscal year 2015 are also excluded from this year’s same-store sales calculation. In the first quarter of fiscal 2015, a total of 12 locations were not included in our first quarter same-store results, consisting of one agriculture store, nine construction stores and two international locations. Now, I will turn the call over to Mark Kalvoda, our CFO to review results in more detail, provide an update on our reduction in inventory and fiscal 2015 guidance.
Mark Kalvoda: Thanks Peter. Turning to slide nine, our total revenues for the fiscal 2015 first quarter was $465.5 million, an increase of 5.4% compared to last year. Equipment sales increased 3.1% quarter-over-quarter, reflecting strength within our Construction segment as well as the expected headwinds within our ag segment, which David previously discussed. Our parts and service business performed well in the quarter, increasing 8.8% and 15.9% respectively, demonstrating the strength and stability of the recurring revenue from these areas of our business. In particular, these increases were driven by strength in our Construction segment and growth in our expanded International segment. Our rental and other revenue increased 23.7% in the first quarter. The increase was primarily due to an expanded rental fleet compared to the first quarter of last year. The dollar utilization rate on our rental fleet was relatively flat compared to the same period last year. On slide 10, our gross profit for the quarter was $75.9 million. Our gross profit margin was 16.3%, a decrease of 40 basis points compared to the same quarter last year. The decrease primarily reflects lower equipment margins, which declined to 8.3% compared to 9.2% in the prior year period. This was partially offset by stronger growth in our higher-margin recurring parts and service business. Our operating expenses as a percentage of net sales in the first quarter of fiscal 2015 was 15.3%, compared to 15.6% for the same quarter last year. This improvement was due to positive fixed expense leveraging in our Construction segment. This was slightly offset by additional expenses related to the expansion of our International segment. In the first quarter of fiscal 2015, we recognized realignment charges of $2.8 million. We expect that we will record an additional $600,000 charge in the second quarter and we believe this will be the final cost associated with this realignment. These results in store closing and realignment charges of $0.09 for the first quarter, and an estimated charge of $0.02 in the second quarter, for a total cost of $0.11 compared to the original estimates of $0.12. Our overall interest expense increased 20 basis points, which was primarily driven by higher equipment inventory level. Inventory reduction in fiscal 2015 is one of our key company initiatives and I will speak more to this in a moment. Our adjusted diluted loss per share was $0.11 for the first quarter of fiscal 2015, which excludes $0.09 per share of store closing and realignment charges and compares to a loss per share of $0.02 per diluted share in the first quarter last year. At the end of our slide presentation, we have included a reconciliation table to help illustrate the adjustments we are making to our GAAP results. Turning to slide 11, here we provide an overview of our balance sheet highlights at the end of the first quarter. We had cash of $82 million as of April 30, 2014. We ended the first quarter with equipment inventory of $970.7 million compared to $939.3 million as of January 31, 2014. The inventory change includes an increase of new equipment of $47.2 million and a decrease of used equipment of $15.8 million from the end of fiscal 2014. On the next slide, I will talk about the positive impacts of our inventory reduction initiative on our adjusted operating cash flow in fiscal 2015. The rental fleet assets at the end of the first quarter were $147 million, which is relatively unchanged from $145 million at the end of fiscal year 2014. We do not expect a significant increase in our rental fleet during fiscal 2015. As of April 30, 2014, we had $701.5 million of outstanding floorplan payables on $1.2 billion of floorplan lines of credit. It’s important to remember that we look at our floorplan lines of credit as payables based on their terms, instead of looking at them as debt. The floorplan balances are directly related to our inventory, which is a current asset and at any time, approximately half of our floorplan is non-interest bearing. Turning to slide 12, I’d like to provide an update on our company equipment inventory initiative. Similar to what we provided on our last earnings call, you will see a chart outlining our equipment inventory position for the last five years. On the right side of the graph is the targeted year-end inventory for fiscal 2015, representing $250 million reduction in inventory excluding acquisitions and new store openings, compared to the end of fiscal year 2014. Our first quarter ending inventory is up slightly, which is consistent with our expectations stated on our last earnings call. We continue to anticipate a slight increase in inventory levels through the second quarter. We expect our inventory levels to begin decreasing in the third quarter, unlike last year’s stocking trend to meet our year end target, which will significantly contribute to our guidance range of $60 million to $80 million of adjusted operating cash flow this year. Slide 13 gives an overview of our cash flow statement for the first quarter of fiscal 2015. When we evaluate our business, we look at our cash flow related to the equipment inventory, net of financing activities with both manufacturers and other sources, including non-manufacturer floorplan notes payable, which are reported on our statement of cash flow as both operating and financing activity. When considering our non-manufacturer floorplan proceeds of non-GAAP net cash provided by inventories was $6 million in the first quarter of fiscal 2015. Our GAAP cash use for inventories was $42 million. In our statement of cash flows, the GAAP reported net cash used for operating activities for the period was $54.6 million. We believe including all the equipment inventory financing as part of our operating cash flow, better reflects the net cash flow from our operations. Making these adjustments, our non-GAAP adjusted cash from operating activities was $10.7 million, an $8.6 million improvement compared to the first quarter of last year. Throughout this fiscal year, we are focusing on improving our non-GAAP operating cash flow. As we execute on our inventory reduction targets, we are confident, we are positioned to achieve improved cash flow from operating activities in fiscal 2015. Slide 14 shows our fiscal 2015 annual guidance. As David stated, we are reiterating our annual outlook. We continue to expect fiscal 2015 revenue to be in a range of $1.95 billion to $2.15 billion. As a result of our store closing and realignment charges, we anticipate recording $3.8 million pre-tax charge or $0.11 per diluted share in the first half of fiscal 2015. Please note this is a slight improvement from our previously expected pre-tax charge of $4.2 million or $0.12 per share. For modeling purposes, excluding the store closing and realignment charges, the pro forma benefit of the realignment and store consolidations, we have implemented is expected to be $0.12 per share for fiscal 2015. We expect our annual adjusted net income attributable to common stockholders to be in the range of $14.8 million to $21.1 million, resulting in adjusted earnings per diluted share range of $0.70 to $1, based on estimated average diluted common shares outstanding of 21.1 million shares. On a GAAP basis, including the store closing and realignment charges, we expect net income of $12.5 million to $18.8 million for earnings per diluted share in the range of $0.59 to $0.89. For the full year, we continue to expect adjusted cash flow from operations in the range of $60 million to $80 million, which represents an improvement of $111 million to $131 million compared to the adjusted cash flow from operations in the last fiscal year. As I mentioned earlier, the primary driver of this improvement is expected to be at $250 million reduction in inventory in fiscal 2015. Modeling assumptions supporting our guidance are as follows, we expect our Ag same-store sales to be negative 10% to 15%. Our construction same-store sales to be in the range of positive 15% to 20% compared to our previous estimated positive 10% to 15% and international same-store sales in the range of positive 5% to 10%. Our equipment margin modeling assumption for the full year is projected to be in the range of 8.3% to 8.8%. We're modeling annual rental dollar utilization to be in the range of 32% to 34%. As a reminder, there is seasonality in our utilization and generally the winter season has lower utilization than the other seasons of the year. This concludes the prepared comments for our call. Operator, we are now ready for the question-and-answer session of our call.
Operator: Thank you. (Operator Instructions) We'll take our first question from Michael Cox with Piper Jaffray.
Amanda Durow - Piper Jaffray: Good morning. This is Amanda Durow, on for Michael Cox at this morning. The question that we have is what are your thoughts and expectations on Section 179 the renewal for this year in 2014?
David Meyer: Well, I see this recently that it passed the House committee. And I think the recommendation is that the pass on the number of tax bills which include a continuation of what we saw in previous year. So I need to go to the senate -- and I’m hearing that we’re not going to see much action on that until after the November elections. But from all conversation, what our representatives in Congress, they’re putting as the high priorities, we anticipate something happening there. What’s out there, we still have the standard depreciation, which a lot of our customers utilize regardless of the solid depreciation.
Amanda Durow - Piper Jaffray: Great. Thanks for that color.
Operator: We’ll take our next question from Peter Prattas with Cantor Fitzgerald.
Peter Prattas - Cantor Fitzgerald: Good morning, guys. You had strengths in construction sale this quarter and as despite the consolidation initiatives you had which may have served as a bit of a distraction. Can you perhaps highlight some of the areas that the strength was coming from? And I’m just wondering do some of those gains come at the expense of perhaps lower margins as you brought down your inventory?
David Meyer: No, we think that that whole segment across the board has been strong. Ukraine has been excellent that we’re seeing good real order sales, excavator sales. I mean, it’s across our footprint, its been pretty good. So we just think the whole settlement, the inventory levels will come more inline. I think, a lot of the operational improvements that we’ve been putting in place over the last 18 months have started now to pay dividends. As we discussed on the call, both energy and ag are contributing to it. We have stores, both, not only in the Bakken, in Wyoming, in Colorado, we are seeing the increase natural gas taking place right now. Housing starts are up. So we are just seeing a lot of positive across our whole sector and just taking awhile there, on a number of fronts and like I say, we, I think a lot of our operational improvements are starting to take hold also.
Peter Prattas - Cantor Fitzgerald: Great. And the second question is on inventory. You did see the usual seasonal lift in Q1? And as well, I noticed that the turns may have come down just a here. I'm wondering what are the key drivers that will help you achieve, we are still seeing like a bit of an aggressive target of getting your inventory down by year end? And I'm just wondering as well related to that, is that something that CNH is supporting you in anyway?
David Meyer: Well, I think, we are right in line with our plan. Why this has to do as far as what happens in the order of pipeline for Q3 and Q4. So basically what you are going to see is, you are going to see the liquidation of our current inventory Q3 and Q4 rather than the new shipments to the level we have seen in the past. So I think our inventory is in line to do that and we are on -- we are right on target with what our plan is.
Peter Prattas - Cantor Fitzgerald: That’s it from me. Thanks.
Operator: We will move on to our next question with Rick Nelson from Stephens.
Rick Nelson - Stephens: Thanks. Good morning.
David Meyer: Good morning.
Rick Nelson - Stephens: I’d like to ask you about the International segment, how that is performing relative to your initial guidance and the profitability that you are expecting there for the year? What the guidance assumes about international?
Peter Christianson: Yeah. Rick, this is Peter. On the International side, we saw a little slower start in the first quarter. Like I said in the comments on the call, the lower commodity prices impacting our customers, they were delaying on selling their crop and wanted to get the cash flow proceeds from that. And we did have some impact to our Ukrainian operations and so we look for the rest of the year. So our outlook that Mark talked about, we’ve built that into our numbers and we talked about the fact that we think we are experience growth in the Bakken countries in Romania, Bulgaria and Serbia.
Rick Nelson - Stephens: Okay. And Ukraine more challenge?
Peter Christianson: Correct.
Rick Nelson - Stephens: Yeah. Also ag payment, Peter, you have been in the business for many years. I am curious in down cycles, in the ag segment, do those stores remain profitable given the advantage of service and parts or do they impact the losses in trough type environment?
Peter Christianson: So our experience is to be profitable in these cycles. They have been historically. I’d say we are in a more of a normalized situation. I think we look at the level of farm income right now. It’s still at some of the highest levels it’s ever been at. So I’d call this more of a normalized situation we’re at right now.
Rick Nelson - Stephens: Got you. Thanks a lot. And good luck.
Peter Christianson: Thanks.
Operator: We will take our next question from Steve Dyer with Craig-Hallum.
Steve Dyer - Craig-Hallum: Good morning, gentlemen. As it relates to ag, it seems like we’re kind of in this period where we’re moving from sort of an every year trade-in and an every year flip of equipment for a lot of these larger guys to more -- back to a more normalized every three, four years. Is that what you’re seeing and sort of how do you think that plays out over the next year or two?
David Meyer: You are going to see some customer continue to want to trade their equipment every year and do annual roles. I think they are looking at their -- what's their way they can -- if they minimize our cost per hour and whatever way works the best. I know from our standpoint, we want to make sure that we can move the used. So maybe in the last couple of years, there are some late model used buyers that elected to go new. They may all of a sudden -- now it’s become used buyers again. So that makes another used piece that’s out there and instead create another used piece. So yes, I think we could manage some of these things, and personally people that trade every two, three years or even five years, it works really well. So you are going to see some people in each of those segments. And I’ve even noticed some of the marketplace out there moving from one year to two and three years at their customer request. So I think that’s good and healthy.
Steve Dyer - Craig-Hallum: Okay. And the rental business, could you give a little bit more granularity on the quarter if you would maybe what you’re seeing in terms of utilization, and kind of how you expect that to trend throughout the year? And I know you gave kind of full year guidance, but maybe utilization and maybe if you are seeing an improvement in profitability there?
Peter Christianson: Sure. The utilization that we had for the quarter was about 23%, utilization, so this is again dollar utilization. And it’s down just a little from the prior year at about -- just about 24%. And as I kind of mentioned on the call, we did -- we do expect lower levels of dollar utilization in these winter months. As we get into Q2, it will be -- the expectation there would be that it would pick up and it would peak in Q3 and come back down some in Q4. We get away from some of that seasonality with our southern footprint, but overall we still kind of see that trend continuing.
Steve Dyer - Craig-Hallum: Okay. Last one for me, I guess, what are you seeing on the acquisition front? Are you approaching at the same way you always have? It’s been quite for a little while. And I just wonder if you are more inwardly focused at the moment or if you’re just not seeing the opportunities that you have historically seen?
Peter Christianson: Well, we are focused on our operations, but there continues to be interest out there. We’re spending a lot of time talking with potential people in the marketplace. Time maybe a little bit on our side right now. There is definitely going to be acquisitions. There is still a lot of consolidation to be done on the ag side of the business and we are front and center right in the middle of that.
Steve Dyer - Craig-Hallum: Okay. Thank you.
Operator: We will move along to our next question with Joe Mondillo with Sidoti & Company.
Joe Mondillo - Sidoti & Company: Good morning, guys. My first question related to the ag segment. Couple of things. First off, the guidance of down 10% to 15% implies that the latter three quarters in the year going to be down a little bit more than what we saw in the first quarter. So wondering what you’re sort of thinking about that regarding that? Is it sort of parts and services coming down with the lower acreage? Or how do you sort of think about, especially with the comp supposedly getting easier in the back half of the year?
Peter Christianson: Yes. We do expect same store to -- that’s obviously in the first quarter here was down 1.2. We do expect worse down more in future quarters. We did have last couple of years -- not so much this last but year before that in our fourth quarter we had very strong fourth quarters. We don’t anticipate that to be as strong. And as far as the parts and service, we do believe that’s very reoccurring in nature. Even in down cycle, that parts and service is going to hang in there nicely. So the negative same-store numbers are really coming from the equipment side of the business.
Joe Mondillo - Sidoti & Company: So even with -- because last fourth quarter was down pretty good, even with the easier comp, do you still anticipate a tough back half?
Mark Kalvoda: Yes. We would still anticipate it to be down in our fourth quarter in the current year.
Joe Mondillo - Sidoti & Company: Okay. And in regard to the margin in that segment, first off, excluding the floorplan, can you talk, sort of give us an idea, what that looks like and regarding the floorplan, how do you anticipate that trend throughout the year, the interest?
Mark Kalvoda: Yeah. So, the interest expense, first of all, with the floorplan interest expense, though it’s higher at this point in the year we expect that, you can kind of track it with our inventory level, we said inventories are going to be up slightly again in Q2 and drop -- starting to drops off. So the floorplan interest expense will somewhat match that and we should see some flipping around third -- somewhat, quite a bit in the fourth quarter where it will start coming down. So, overall, for the year, trending very similar to where we ended up last year. In regard to margins, I am not sure, if you are talking about equipment margins or if you are talking about like pre-tax...
Joe Mondillo - Sidoti & Company: Just the overall agriculture pre-tax margins that you give?
Mark Kalvoda: Yeah. I think, basically with the guidance we have provide with ag being down on a same-store basis and construction being up. You are seeing some flipping there as far as what’s driving the result for the year, so it will be down over last year’s pre-tax number.
Joe Mondillo - Sidoti & Company: Okay. All right. Thank you.
Operator: (Operator Instructions) We'll move on to our next question Mig Dobre from Robert W. Baird.
Brian Brophy - Robert W. Baird: Hi. Good morning. This is Brian Brophy on for Mig. I was hopping you could talk about how manufacturing incentives impacted the quarter and specifically versus last year?
Peter Christianson: Well, I think you are seeing some consistency in the business, fairly business as usual.
Brian Brophy - Robert W. Baird: Got it. Okay. And then taking a look at SG&A, picked up a little bit in the quarter versus last year, what should we be expecting for the full year?
Mark Kalvoda: Yeah. What cause the increase over the quarter, if you look at this quarter versus last year quarter, it’s really two areas primarily, International. Now that we have got European operation center open and then we got into Ukraine, basically at the end of the first quarter last year and opened up an additional store. So, some of those additional expenses associated with the International that brought it up. And then also just with pick up in the seed business, additional commissions associated with that pick up that drove SG&A up approximately $2.5 million. As far as for the year, SG&A, we kind of talk about it in terms of percent of revenue and it well be up as a percent of revenue in that, our revenue is going to be down primarily on the ag side. So, last year, I think, we were at like a 13.1%. It would be up from that anticipating it somewhere around at 13% and 14%.
Brian Brophy - Robert W. Baird: Got it. Thank you.
Operator: At this time we have no further -- we have no further questions. I would like to turn the call back over to David Meyer for any additional or closing remarks.
David Meyer: Okay. Thank you for your interest in Titan and we look forward to updating you on our progress on our next call. Have a good day.
Operator: That concludes today's conference. We appreciate your participation.